Operator: [Indiscernible]
Simon Bedard: Hello. Good afternoon, everyone.
Ghislain Lemire: Hello, Simon.
Simon Bedard: I was just saying, just make sure, everyone, to put your mic on mute. Sounds like we're okay now.
Lynn McDonald: You're still waiting a minute or 2, Simon or?
Operator: Yeah, maybe 1 minute. I think we have -- don't have any more people in the waiting room, but let's wait, maybe an extra minute.
Ghislain Lemire: I think we can start Simon
Simon Bedard: Yeah. I'll just admit 2 more. I think we're we can start definitely.
Ghislain Lemire: Perfect. All right. I will do the introduction. Thank you, everyone, for being with us today. I'm recognizing a lot of names that we -- that have been following Urbanimmersive for -- quarter-to-quarter. It's a pleasure to see you again today. For those who don't know me, my name is Ghislain Lemire. I'm the CEO, co-founder of Urbanimmersive. Welcome to our fourth quarter financial results end of the year investors conference call. [Foreign Language] For the reason of being efficient, base our shine, and respect our time, we'll be doing this call in English, but we will take both English and French questions at the end. Joining me today, as usual, I have Simon Bedard, our CFO and I'm just looking at my screen and I see [Indiscernible] our new Executive Vice President.  During the call, we might make forward-looking statements during future financing financial performance, operations, products unevened. Although we believe our expectations are reasonable, we cannot guarantee these results. Again, we caution you to read and consider all the risk factors described in our last MD&A. Not it's going to be on C-dollar pretty large, or in our annual information form that you can on [Indiscernible] The agenda will be quite different -- slightly different, sorry, compared to the last quarter. So what we want to do is finally, we will start by going to the last quarter and year-end financial highlights. We will talk about some business highlights as well.  And then afterwards, what we thought that you could appreciate today because it's the end of the year, we're starting a new year, we thought that we will take 15 minutes and do a short Urbanimmersive deck presentation so that we can put everyone on the same foot in regards of how the Management is seeing Urban immersive, how we describe it, and what is our focus and goals going forward. Without further ado, I will turn the call to Simon. Simon?
Simon Bedard: Hi, good afternoon, everyone. We see we have a lot of participants, investors today. Thanks for your interest and being present on that call today. What I'd like to do is similar to what I've done in the last quarter, just maybe put some color into the financials that were published in the press release this morning. I want to apologize the -- we don't have the fitter filing yet, but the French version should be available within the next hour from my friend [Indiscernible] on telling me. Sorry, they had some quality issues -- quality control issues this morning, and the English version should follow within 48 hours.  That said, if you have more detailed questions with regards to those financial statements once they're available on SEDAR, really feel free to contact me by phone or e-mail, and I will answer all questions you have with regards to our financials. In terms of our Q4 2021 financial results. To start with, if we talk about revenues for the year, we end up -- we closed the year at slightly above $4 million in revenues compared to $4.6 million last year, so it's a 11% decrease. That decrease is, I would say, is explained in most cases by the decrease in sales of 3D photography equipment. That was expected, by the way, by 600,000.  If you remember last year, we're pretty happy to have acquired Immersive Solutions and benefit from the good solid year of demand for 3D cameras at the beginning of the pandemic, but we knew that it won't be sustainable over the year -- sorry. There's someone. Okay. We're back. Yes. So that was expected that, of course, we'll go back to a normal level of sales. What is this normal level? Maybe next year we can expect some -- something around $200,000 to $400,000, but not what we've seen at the beginning of the pandemic where people were trying to buy cameras and try it. And basically, there was a boom, but that was a one-time thing, so we don't expect this to continue.  On the side, if we look at the SaaS sales, we are down 7% compared to last year. But, of course, we -- you may know that we are -- our Company is still today mostly transactional-driven in terms of the revenue transactional base, meaning that, yes, we are progressively moving to some revenue -- recurring revenue streams with the new subscription target that we have that Ghislain will talk about a bit later, but still to deal with wherever lead transactional base, and the fact that the market is, in terms of number of transactions, in terms of number of listings, is down just this year compared to last year, near to 30% or 23% that's in Canada with Centris. But in the U.S., it's also in that range, so between 25% to 30%. And, if you remember, last year we were down 30%.  If you accumulate that, we're physically down 60% over 2 years in terms of, again, inventory and number of transactions. If you combine this to a very quick turnover ratio where properties and houses are sold, most of the time within 24 hours to 58 hours and they don't eat that much of marketing tools that we can sell it easily. That's just another factor that we're facing right now. We think that all this of course, should be temporary, we don't have a crystal ball when we're going to be back to a normal market, but just to put things in perspective, we're talking about Centris where right now I think we have around 35,000 listings on Centris, we used to have 120 at that time, usually.  So it's -- of course, we were affected by this, but the fact that we're 7% down in that type of market, I think it's positive. We're even gaining customers. We're not losing customers at all. We're gaining customers with our new subscription package and all different fronts. That's why it's important to understand the market here when we look at our numbers. Also, what you have -- what's important this -- in the last quarter is that you'll see that we have our first quarter of photo service. We have revenues of $307,000 of photo service. We had those acquisitions, if you remember, we're on June 30th, so we have only one quarter this year.  But the one that were acquired in June, maybe represents approximately $1.8 million on an annual basis of revenues. Plus, of course, the one that you've seen that we acquired in Q1, 2022 in November and December. Meaning that today, I'm not here to make guidance of what's going to be our revenues next year, but based on what those -- all those companies that we've acquired have done in the last 12 months, we're -- as we posted on our website, we are at the run rate revenues of approximately $11 million. And out of this $11 million, we have roughly $3 million in SaaS, as I said, $0.5 million maybe in Hardware, and the $7.5 million remaining is Photo Service. Even Q1 2022, you can expect that we'll have maybe 2 weeks to 4 weeks of revenues that those new acquisitions that were done in November and December. We won't have the full effect even in Q1. We'll do have in Q2.  And if we talk about Q4, where our revenues were $1.1 million compared to $1.4 million last year. So, we're down 24% on Q4, but we've seen that the number of listings have decreased more in Q4 this year. Overall over the year, as mentioned, we are -- there was, in terms of the number of listing inventory, that was down 30%, so still, I think we're doing pretty good in this very challenging market. Talking about 3D tours, that's a positive thing. On our end, is that we experienced a lot -- a lot of growth in the number of 3D tours. In fact, 237% compared to Q4 last year. We're talking maybe in dollars around -- roughly around $70,000 to $80,000 of new -- of revenues of 3D tours this year.  And that should continue to grow fast because we -- you may have seen a few updates we provided before Christmas with regard s to new contracts, including offerbach for instance, that should scale up and deploy more and more cities over the month. We should see that trend continue to -- in terms of number of 3D tours to grow fast in the next month, that's what we expect. In terms of gross margin, we're pretty stable compared to last year. For the 3 month period we were at 61% overall, compared to 63% last year, and for the year, we are at 65% compared to 68%. So pretty stable, of course it depends on the mix of the revenues because on the SaaS portion, our gross margin is somewhere between 82% and 87% and on the photo service, more 35% to 40%, and on the equipment is a bit lower, depending on the mix that will affect our gross margin.  But basically, this should be representative of next year, and even probably we could improve that a little bit when we're going to talk about some efficiency gain that we will have with the synergies and acquisition that Ghislain think will cover a bit more later. In terms of net income, there's a lot of noise this year on the -- you can see we have a loss of $3.7 million for the year but -- including $3.2 million of other expenses. And out of that $3.2 million, there's $3 million or $2.9 million, in fact, that comes from all the adjustment made with regards to the conversion of the debenture -- the convertible debentures that are all done, as you know, as of today.  So this is not recurring, so it won't be there next year, but there was just the onetime journal entries this year. But of course, that explains most of why we have that loss for the year. In terms of balance sheet, we're still in pretty good shape. In fact, as you know, we did a $3 million private placement in April that we used for -- in part, for our acquisition. At the end of September, we had $2 million of liquidity. I can tell you that as of today, we're near $1 million. We used that -- an additional million for the acquisitions that were done -- completed in November and December. We're pretty -- we're still in good shape. We have enough to operate and execute our business plan. No problem there.  Of course, with that million that will serve as a caution going forward, so we don't expect to use more than that on acquisition unless we raise additional capital, or debt, or some external funding. And other than that, as you know, throughout the year we've eliminated our convertible debentures that was -- we reduced our debt, in fact, by $4.7 million throughout the year, including million just for the convertible debentures. So basically again, I think our balance sheet is in good shape and that's pretty much the point I wanted to cover. There's in the MD&A and financial, you have some information by segment where we now track 3 different segments.  One is the software, one is the photography equipment, and one is the service. So, again, hopefully I'll be able to post on SEDAR pretty soon, so you can come back to reach out for your questions. And on that, I'll turn the mic to you, Ghislain, if you want to maybe give a business update through the presentation.
Ghislain Lemire: Absolutely, Simon. But just before we jump to the next point on the agenda, is there anyone who would like to ask specific questions about financials that Simon just covered? Or you still think about your questions and you're going to keep it for the end? It's like you want. We can take a couple of minutes just to go over and care the financial side of it if you want. Otherwise, we're just going to keeping continuing. We're seeing any question right now. I won't say you raise your hand, but you're just -- everybody is closing his camera. I'm not saying anyone.
Mathieu Martin: I just have one for you here. Simon, you mentioned that you currently have about $1 million in cash and you're not using any more cash for acquisitions, so, how should we think about the acquisition strategy going forward? Since there has been a decline in the stock price. So, maybe it's not as attractive anymore to pin shares or [Indiscernible] raking in more cash by issuing new shares, how do you think about that?
Simon Bedard: Yeah. We're not -- as you've seen, we've closed 8 acquisition -- or 6 acquisition just in December. Right now, we're on the integration phase. It's going very well as Ghislain cover that in a sec. We're not the weaker due to basically announce a new acquisition. And we do have a lot of things on our plate really. We're pretty optimistic about what's coming. And, of course, hopefully, the market will also be more on the red than on the green. All to say is that we -- by the time we're back on track with acquisitions, we think and we hope that our stock price would be at higher levels.
Mathieu Martin: That's perfect. Thank you.
Ghislain Lemire: And if it's not, we can also kind of delay some of the deals off, or look for any other kind of structure to close those deals. Any other question or we move forward into? Just your mic if you want to have the question to ask Simon and just ask your question. You're more than welcome. And like I said, we're going to keep entering questions at the end. So, I promised, right? I'm going to go into a deck, it is very seldom that we're doing that on the investor conference call, I think it might be the first time if I do remember, but I promised it will short. I will try to do it in 10 minutes. Hopefully, I will not lose everyone, but 10 to 15 minutes, just covering 15, 20 slides. And the reason why we wanted to do it is that we're getting a lot calls, Simon and I, and through those calls we are realizing that we often have to realign the storytelling with some investors.  We think we're -- some investors think we are mid over business, some investors think that we're just a provide for business and so on, so forth. I think that the goal of this deck is redefining for everyone -- I think it's defining for everyone on the same page what it is they're going to receive and where we are going. I'm going to share my screen in a second. Hopefully, you're all going to see it except if you're on your cell phone and on a smaller device, you might have some prompting it. I'm going to comment those slides here. Just going to click on the partly presentations.  Like Simon said, this is the way we would describe Urbanimmersive on the [Indiscernible] page on our website, we're basically a Technology business that provides services in the market of real estate photography. Put it in another word, I'd like to say that we're a tech-powered real estate photography business. That's another way to present Urbanimmersive. Run rate of $11 million and today, including the photographers who are on our payroll -- paper job and on our payroll, we're turning around 150 employees. This is going to include the head office, but the developers and the management and everything, we're probably turning around 30 employees. We're based in Montreal. And of course, we'll listed on TSX Venture. This is -- I don't want to go into detail, but I just want to remind people. that we're not a start-up.  I mean, we've been in this business for more than 10 years. And the first thing that my brother and I did 10 years ago was to design this spaceship kind of prototype of lens camera, but it was a real prototype by the way. In 2009, we tried to raise money to commercialize the business and this is why in 2012, we kind of jumped on the TSX Venture of that time and here in Canada and Quebec perfectly area we were adding access to tax kind of advantage for investor call, we asked to raise money. But this camera never saw the light.  So we kind of create all the software to running 3D tours, but we're not newcomers, we've been trying a lot of things in the real estate photography business from developing camera, software, business solutions, so forth. So we know the business pretty well. And some of the engineers working with me to develop those software, I've been working with them for more than 25 years. So this is our staff. This is not something that I'll find on the market, but when we sit down and try to evaluate what is the size of our market? And our market is real estate or core market. Of course at the end of deck, we'll talk about addressable market.  But our core market, is real estate photography for the purpose of marketing. So basically you know to sell a house. So when we considering that TT for residential, commercial, and rental, we are estimating that this is a niche market of $4 billion just in the North America. Potentially in our estimation something about $7 billion to $8 billion worldwide. Here in North America, we're estimating about 30 million shoots a year. Shoot for us as a photographer [Indiscernible] through the house and bring back 25-35, you major with all the media that comes with that. And roughly that's provide generates a billion in majors per year. This is our market.  Like Simon said, this is a transaction market. I mean, our business is linked to the housing inventory, so if the housing inventory ramp up, we're going to ramp up if it's going down -- because our business model, as we are going to see in this slide, is mostly 90% transactional based, we are going to follow the trends and unfortunately, right now the trend is historic. Most of the [Indiscernible] we talked with, they never saw such a low inventory of hospice sale. I'm not sure I like those numbers the way I'm presenting today, but those are real, I mean the market is down 23%, down 11% year-over-year.  And our new acquisition or our adjusted coming into our pipeline of revenue in the last quarter. So state just the facts, like Simon said, minus 7%. Overall, we feel we're winning clients. We don't feel definitely losing clients, but we are seeing is that our photographers, our clients are doing less business overall. This is why, I mean, it's kind of a bad place to be right now. But, you know, I'm a positive person, and I don't think it's going to get worse. And we're hearing that the interest rates should increase, so that will hopefully slowdown a little bit some of the interest of buyers or people selling their house. In any cases, I think we are at the bottom of the barrel right now.  So I think is that the decision would just come -- go start and ramping up again, and of course like Simon said you would potentially 60% down compared to what number should usually be in terms of listings, and in terms of house for sale. Urbanimmersive should follow the trend and potentially adjust beat the transaction because we believe right now we're beating, we're kind of succeeding in that very, very difficult market. And tell you what's starting to, I'm talking to a lot of the entrepreneurs in the real estate that they and the on the thing position right now. All right, so photography business in itself, it's a business that is transforming a lot and it's definitely shifting to a technology -driven, high-volume business.  So basically, you have to do a lot of transaction per day because it's a highly competitive landscape and unique to bring a lot of value in terms of technology. So basically we kind of grab all the parts that we need to succeed in the Photography business, like we need to have online booking system, you need to have the capture hardware, not just a camera, but you might need the 3D camera, you might mean a drone. So you need to have those specialized hardware, you need to [Indiscernible] to increase the wide balance to put the books high on the external facade. You may just need to have this service, you need to create YouTube video slide show because YouTube is one of the most popular search and giant in real estate.  Of course, you need to provide 3D tours, it's a must-have today and for client is our fifth basically more important than 3d tours right now on the market. There's a lot of interest even in some states, like here in Canada for plans are mandatory. This is a common product, it's a -- you definitely need to provide website. We call it property websites, so it's a website dedicated to showcase 1 house for sale. You need a system to deliver 100 ready images, high-quality images. Images cannot be just transferred by e-mail. So you need to have some study system to transfer the image, and you need a very performance pendants system to get paid. When you look at all of those things that you need to run a photography business today, Urbanimmersive is the only company offering and owning every part of the -- every portion, every technology required for the business right now. And that giving us a lot of advantages over our competition. I will start from the bottom.  Of course, the after sales support, it's easier for [Indiscernible] to do because we're providing each parts, we're not relying to third party for 3d tours, for floor plans, for photo additions. Everything is done internally. So of course we have a pretty difficult to beat turn around delivery time. We can deliver faster than our competitors because they are fewer parties involved. We can -- we have more flexibilities on our packages. We can offer and deal with our clients. We keep our margins pretty high for the value we bring and we like to tell the market that we are one of the most competitive business right now, in terms of pricing.  So being a one-stop shop is definitely bringing a lot of value to our clients and it's positioning Urbanimmersive for winning many deals, many contracts with real estate agents and photographers. The business model, when you look at each of the parts, there's some portion of those required elements that you need to run a photography business that are not technology, like taking a picture, you need to have a human doing that, you need to have a photographer. Photo editing images, even if AI is super well advanced and a lot of people tell that they are photo editing images with computers, you still have some human, the human will do a better job. And the floorplans you need somebody to draw a floor plan and put furniture's right in the rooms name and stuff like that.  Those services we are offering to our clients. So we called them service on demand. And it is transactional base. So each time somebody wants to have a photographer on site, the decline payments and photographer something for photo audition and floor plans. And the rest is mostly technology, so and we still offering it every part even if there's no outline with the bookings system which we are offering yet. And it's still transactional for most of the parts, so we're charging, for example, $5 to render a [Indiscernible] deal; $4 dollars to render a 3D tours; $15 to trade property websites; and $3 to transfer the images.  So think about this part here as a dropbox kind of platform to transfer the high-quality majors. We added this year a new service that Simon briefly talked during the financial highlights, what we call the Prime subscription. So the Prime subscription is basically for $30 a month. Agents subscribed to that plan, and each time the order one of our photographers we're going to bundle all the technologies. We can offer it to them. So this is a very popular subscription right now are talk a little bit later in the deck about it. Simon briefly talk about the distribution of revenues, so $3 million in SaaS, $8 million in services.  I just want to add, for the SaaS it's still serving around 1700 real estate photographers. So this number here is our independent photographers using our technology to serve their agents, their clients. Is generating around 206,000 property websites per year. In terms of services, so we're talking about our photographers we're serving around 12,000 real estate agents and doing around 50,000 photo shoots a year so this is including our acquisitions that we've done during 2021. When we talk about technology and you saw it from the history, the timelines of Urbanimmersive, we started with the 360 camera design. There's still passion highly passionate about 3D technology. We'll always kind of keep that in our products and really kind of hope that someday 3D tours will get back in the market. And this is different to what Covid-19 has created, generated a demand for 3D tours.  This is our core technology, and we believe that we have right now, one of the most complete 3D tours solution on the market. If you look at all the features we are offering, few companies can say that they have all this in their 3D solutions. So of course we're -- each time where during a 3D tour, we're providing a dollhouse. This is the way we commonly call off this kind of 3D tours and loose demarcations. We can measure on the floor and with tape. We're having our own built-in floorplan drawing software built-in in the 3D tours itself.  So even our clients can play with it and can change the four cans if they want, so we're not using up a card, we are not using a third-party software to create a floor plan, we use the AI-powered classification system that we acquired from [Indiscernible] in 2018 to McAfee, put a tag in the rooms to say, this is a fitness room, a kitchen, so on and so forth. We have those tag also that you can put some graphic and link from a 3D hot spot. This is pretty unique to Urbanimmersive. So we are showing an interactive map of people within the room. This is not picture of people. Actually it's a real video. They can see people in their live stream video on the map. And of course we have the avatar for the 3D social basis, where you can visit with friends and interact with them. So whether you can interact by chatting or you can interact with videoconferencing. The next slide is something pretty special for us because we are running a photography business. We are offering for photography services and we want to be highly efficient.  And the only way you can achieve profitability and keep your margins by going fast, you need to do your shoot super fast. Being 2 hours in the house, it's too long, so we want our photographers to do 6 to 7 shoots per day. And in order to do that, we've developed our own Capture app, that is 3 times faster than anything that we've seen in the market to scan a house. It works on iPhone, iPad, it uses advanced computer vision alignment system to tread those map when you shoot. It's fully integrated within our workflow. So it's definitely improving the productivity of our people and also, we also had some feature that enables photographers to add additional information on the map for adding value and improved production.  We recently launched this -- what we call the automated building insights and had 6 reports, so for every tour we providing with our Prime subscription, people will receive a detailed report about the property, so they will know how many sinks, showers that the building has, how many doors, outside doors, inside doors, and so on, and so forth. It's highly detailed and really appreciated with some of our clients like [Indiscernible] that's are roof furnishing, many of the home they're buying to resell them. This is unique to Urbanimmersive. We call it UiMeet3D. So basically it's the Avatar that you can see people visiting the home with you in the 3D space. And we just open their video camera so it becomes some sort of a 3D video conference. I will tell you that we're presenting you 3D to many industry leaders.  And it's making a lot of noise right now and we're expecting to have some significant partnership trend and I assume many of the people within the industry, and as you see, I'm not using that word today but we've been told and people are telling us that it might be the version 1.0 after all of Metaverse will being able to be altogether within an environment visually interacting where you are within the space, what you're looking at. And with a view system, it's definitely something that has a lot of value for our clients, partners, [Indiscernible], brokers and so on. And we have filed for provisional patents on that. And basically the reason why we use the provisional patent because we want to go fast in protecting our idea.  And also we want to make sure that nobody will pattern something being on top of our ideas that basically will force us to not promote this technology. So far, we have 4 provisional pattern on that, we're working on the fifth one and basically related to the way we're presenting our thoughts when there are multiple people in the same maxes, the we're controlling, user controlled user Lupick brands and so on, so forth. And about a 3D tours, we have today what we believe one of the most complete 3D marketing website fleet on the markets. Basically, those are websites dedicated to show -- to showcase the best way possible 3D tours.  We have more than 20 customizable designs, we accept other media like still pictures, video, and so on. So it's we said that it's highly appreciated by our clients because once you have 3D tours, you need to distribute it, you need to promote it. And we are complete solutions setup. The way we round about our business, we were very here to then receiving 713 actually was part of the bluffing our own business solutions, ERP or CRM, wherever you want to call it, it's a system that helps managing a photography business until they were using it to manage our own photography business. And what is particular with our solution is that we've developed, over a year.  A business intelligence, allowing to create instant booking. What does it mean? It means that we can in real-time without any delays, find the full list. For us with the next shoe. When an agent's come or platform and they want to book a photographer 2 o'clock Saturday. The system we'll find the right for our first for the right services, for the right plant at two o'clock and the booking is confirmed. There's no other communication. They will be sure that the photographers would there for the system calculate the travel time, calculate to service time.  And then the end of the day gives us know the possibility to improve the productivity of the businesses we are acquiring. To give you an example, one of the business we acquired, were doing 3 to 5 shoots a day, and today they are running 7 shoots a day, with this system. So we see rapidly the difference using our system. I'd like to say this is an autonomous algorithm beyond that, we don't use Google Map or any other software. It's our own business intelligence. In terms of on-demand services, to recap, we are offering 3D scanning and [Indiscernible] services, urban drawing the major enhancements.  It's all paper jobs, and in terms of photography, we have around 130 real estate photographers, difficult to know the exact numbers because some photographers are working 20 hours, some photographers are working 40 hours or the full-time part-time, whatever. Once we have earned, but they are offering the complete package of visual conference capturing, 3D scanning. On one appointment basically all photographers are equipped to deliver all the services of Urbanimmersive. [Indiscernible] drawings are done offshore. Most of the [Indiscernible] drawing is done in Paris, not within most, maybe 50-50, 50 expected done here and Quebec using our own software.  And we like to see that we've developed some sort of the marketplace so we can engage really rapidly new people to work on our system and to help with the volume. But [Indiscernible]. And right now, as we speak, we are doubling our total addition teams in Paris. The reason is that because some of the businesses that we have acquired recently, our pains with offshore companies 3 time what it cost us to post EBITDA majors. So we expect to increase the margins of some of our biggest acquisitions that we've done with Sanford. Transitions can mean a thing from blue skies, [Indiscernible] I'm trying to.  It looks like you've succeeded to shut it down. And we're totally sorry about that. It’s the first time that's happening. We've been hacked on that call. Are you hearing me? Okay. So first time [Indiscernible] experience. It's not us [Indiscernible] Guy that has a lot [Indiscernible] it time to mute Simon. You can I know month. And can you just have said down.
Simon Bedard: What
Ghislain Lemire: Sorry for that, we're going to try to get back to our meeting, otherwise we are going to have to terminate that. So are we good to continue, or we're going to have other people? [Indiscernible] Can you stop -- I think -- I don't know how it was in Zoom, but, Simon, but can you stop the people getting on the call?
Simon Bedard: Yes.
Ghislain Lemire: So all right. Let's close it there Simon, let's close the call.
Simon Bedard: All right.
Ghislain Lemire: Sorry everyone and [Indiscernible] time we'll use [Indiscernible] that call.
End of Q&A: